Mark Hueppelsheuser: Good afternoon, and welcome to The Oncology Institute, Inc.'s Fourth Quarter and Full Year 2024 Earnings Conference Call. Today's call is being recorded, and we have allocated one hour for prepared remarks and questions and answers. At this time, I would like to turn the conference over to Mark Hueppelsheuser, General Counsel at The Oncology Institute, Inc. Thank you. You may begin. The press release announcing The Oncology Institute, Inc.'s results
Daniel Virnich: for the fourth quarter and full year 2024 are available at the Investors section of the company's website, theoncologyinstitute.com. A replay of this call will also be available at the company's website after the conclusion of this call. Before we get started, I would like to remind you of the company's Safe Harbor language included within the company's press release for the fourth quarter and full year 2024. Management may make forward-looking statements, including guidance and underlying assumptions. Forward-looking statements are based on expectations that involve risks and uncertainties that could cause actual results to differ materially. For a further discussion of risks related to our business, see our filings with the SEC. This call will also discuss non-GAAP financial measures, such as adjusted EBITDA and free cash flow. Reconciliation of these non-GAAP measures to the most comparable GAAP measures are included in the earnings release furnished to the SEC and available on our website. Joining me on the call today is our CEO, Dan Virnich, and our CFO, Rob Carter. Following our prepared remarks, we will open the call for your questions. With that, I turn the call over to Dan.
Dan Virnich: Thank you, Mark. Good afternoon, everyone. And thank you for joining our fourth quarter and full year 2024 call. Today, we will discuss 2024 results and will focus our attention on the positive developments that began in 2024 and have continued through the beginning of this year, all of which give us confidence that we can cross the line to profitability and positive cash flow by the end of 2025. Although our overall financial performance in 2024 did not meet our expectations, I would like to highlight several notable developments that were key building blocks for 2025 and beyond. First, our revenue increased 21% over the previous year. Inside of this headline number were several significant factors. Our historically highest growth business, value-based patient services, is finishing the year on stronger footing following the launch of six new contracts totaling over 270,000 lives across the third and fourth quarters. We also achieved an important strategic milestone by proving our model outside of California with two new contracts signed in Florida during Q4 totaling over 200,000 lives and over 80,000 additional lives already signed in the first quarter of 2025 through four separate agreements across markets. Importantly, one of the 2025 wins includes 42,000 additional lives in Florida in our first fully delegated model with a health plan partner. Pharmacy and medically integrated dispensaries also grew rapidly in 2024 with $48 million for Q4 and $180 million for the full year, representing annualized growth of 73%. While increased revenue is an important part of the story, we are acutely aware that the growth in the top line must lead to profitability and positive cash flow in the near term. During 2024, we took several steps to accelerate our path to positive cash flow and profitability. On profitability, we saw sequential improvement in adjusted EBITDA in the second half of the year through our acceleration in capitated contract growth and quarterly drug margin improvement. During the fourth quarter, we entered into a new multiyear agreement with our primary drug distributor, which drove substantial margin improvement starting in December, including volume-based discounts, which optimize our cost positioning. Part of this revised agreement also improves our payment terms and credit parameters, which was a key contributor to the working capital management that supported our positive cash position in Q4. We have more work to do and are continuing to diligently pursue cost optimization opportunities across our supply chain, including the creation of secondary pharmaceutical and medical product suppliers, that will allow The Oncology Institute, Inc. to continue to grow while benefiting from a cost structure proportionate to our scale. Lastly, we maintain tight controls of our internal cost structure, reducing SG&A 12% in Q4 2024 versus Q4 2023. Our ability to grow the top line while reducing SG&A expenses is a testament to our focus on operational excellence and strategic execution. This decrease is a direct result of our ongoing efforts to streamline operations, improve efficiency, and optimize our overhead resourcing.
Daniel Virnich: Through selected outsourcing, planned attrition, and modest downsizing, we have been able to lower operating costs without compromising the quality of care and service we deliver. Also importantly, we have reduced overall overhead costs while continuing to selectively recruit and promote top talent within our organization. By recognizing, retaining, and attracting best-in-class performers within the healthcare ecosystem, we believe that we have been able to continually do more with less in a high-performance culture. We saw a sequential quarterly reduction in cash burn in the second half of the year as a result of our disciplined approach to working capital management improvements across receivables, inventory, and payables, generating over $4 million of cash in the fourth quarter. Our second consecutive quarter of positive cash from operations. We also have taken significant steps to improve our balance sheet, which has led to notable recent developments in early 2025. In February 2025, we successfully amended and restructured our facility agreement, including a $20 million principal paydown of our outstanding debt. Through this amendment, we removed certain financial covenants, most notably the permanent elimination of the $40 million minimum cash covenant. Strengthening our balance sheet remains a priority as we continue to enhance financial flexibility and position the company for sustainable growth. Finally, we are happy to announce that following the principal paydown on our facility agreement, we have entered into agreements for a $16.5 million private placement of common equity. In addition, Deerfield converted $4.1 million of its outstanding debt to common equity on the same terms as the cash equity raise. The capital raise included a combination of management, board members, as well as existing and new outside investors. This transaction, in addition to our ongoing cash management efforts, strengthens our financial position and provides The Oncology Institute, Inc. with greater flexibility to execute on its strategic priorities. In the aggregate, the outstanding principal balance of the debt has been reduced from $110 million at year-end to $86 million. The additional cash reserve will support our rapid organic growth, including implementing technology that the company believes will drive improved efficiency and margin expansion.
Rob Carter: Now, I will turn the call over to our CFO, Rob Carter, to provide additional details on our fourth quarter and full year 2024 financial results along with 2025 guidance, and additional operational and strategic updates. Dan, and good afternoon, everyone. Coming off my first quarter as CFO of The Oncology Institute, Inc., I am more excited than ever to be part of this incredible team and working with all of them as we continue to execute our strategy and drive long-term value. Let's begin by reviewing our financial performance for the fourth quarter and full year 2024.
Rob Carter: Consolidated revenue for Q4 2024 was $100.3 million, an increase of 17% compared to Q4 2023. The increase is driven primarily by our dispensary revenue due to our California-based pharmacy, which continues to exceed fill expectations. As Dan mentioned, we expect to see more normalized levels of growth in the dispensary business going forward now that a full year of operations has lapsed. Gross profit in Q4 2024 was $14.6 million, an increase of 2% compared to Q4 2023. This increase is attributed to the contribution of our dispensary segment. We were able to decrease our SG&A in Q4 2024 by 12% as compared to Q4 2023 despite the strong growth in our top line, which is a testament to our commitment towards driving operational efficiency and our goal towards profitability. As a percentage of revenue, SG&A, including depreciation and amortization, was 26% in the quarter, a decrease of 8% as compared to Q4 2023. Loss from operations for Q4 2024 was $11.9 million, an improvement of $3.4 million compared to Q4 2023. Net loss for Q4 2024 was $13 million, an improvement of $5.6 million compared to Q4 2023. Adjusted EBITDA for Q4 2024 was negative $7.8 million compared to negative $6.3 million in Q4 2023. Contributing to the Q4 loss was a $3 million one-time reduction in fee-for-service revenue, unrelated to Q4 days of service. As Dan noted, net cash from operations for Q4 2024 was a positive $4.2 million, and our cash and cash equivalents increased $2.3 million compared to Q3 2024 due to working capital management and non-cash expenses in excess of operating losses. Moving to our full year results. Consolidated revenue for 2024 was $393 million, an increase of 21.3% compared to 2023. Driven by the contribution of our California-based pharmacy. Gross profit for 2024 was $54 million, a decrease of 9.4% compared to 2023. The loss in gross profit is largely attributable to lower infusion drug margin in Part B, due to drug price inflation outpacing reimbursement as well as higher clinical payroll as The Oncology Institute, Inc. builds its care infrastructure around anticipated growth in new contracts that we are now seeing materialize as we exit the year. SG&A, including depreciation and amortization, is $114 million in 2024. A decrease of $5.6 million compared to 2023. As a percentage of revenue, SG&A was 29% in 2024, down 800 basis points from 2023. Loss from operations for 2024 was $60 million, an improvement of $16.9 million compared to 2023. Net loss for 2024 was $64.6 million, a decrease of $18.4 million compared to 2023. And adjusted EBITDA for 2024 was negative $35.7 million. Further details on how we define non-GAAP financial measures can be found in our Form 10-K and press release. Moving to the balance sheet. As of the end of Q4 2024, our cash and cash equivalents balance was $49.7 million. This represents an increase of $2.3 million of cash and cash equivalents compared to Q3 2024. Which is a result of efforts to maximize efficiencies in working capital, particularly in inventory management. Additionally, as mentioned in our last earnings call, we received a cash inflow of $4.1 million as a result of a favorable legal settlement in Q4. Which strengthened our balance sheet and added to our liquidity position. Our private placement will further bolster this cash position in this quarter. Before I turn the call over to Dan for closing comments, I would like to walk through our 2025 guidance. The cornerstone of our 2025 guidance is the execution of several recent capitation contracts, which are expected to deliver significant improvement in our profitability in 2025 and beyond. As mentioned, the annualized revenue of the new capitation deals starting between Q3 2024 and the second quarter of 2025 is approximately $50 million, with only two-thirds of that to be recognized in 2025 due to staggered start dates of the contracts. We are well-positioned to handle substantial growth in the markets we serve without needing to add more providers or increase overhead costs. For the full year 2025, we expect revenue of $460 million to $480 million, representing 17% to 22% growth over the full year 2024. This growth is driven by several factors, including our dispensary business, particularly our pharmacy, as well as the continued expansion of value-based contracts and organic growth, especially in Florida. We expect gross profit in the range of $73 million to $82 million, an increase from $54 million in 2024. Representing a 214 to 336 basis point increase in margin over 2024. We expect adjusted EBITDA in the range of negative $8 million to negative $17 million, of which we expect $5 million to $6 million of the loss to occur in the first quarter, with an expected progression to profitability in the second half of the year. Q1 of 2025 will be our worst quarter due to seasonal factors, such as New Year drug price increases, and lower encounter volumes. However, we anticipate a steady improvement in drug margins as reimbursement aligns with price adjustments and as encounter volumes grow organically. A key value-based contract in Florida launched in March with several more contracts set to launch in Q2. Margin contribution from these contracts will increase throughout the year, driven by The Oncology Institute, Inc. and our payer partners directing more patients to our provider network, which helps reduce leakage costs, which reduce the capitation payment received by The Oncology Institute, Inc. as we are typically responsible for external oncology spends. As a result, we expect a gradual reduction in losses over the course of the year, ultimately achieving positive EBITDA in Q4. In an effort to provide more clarity on cash use and runway, we are providing free cash flow guidance for 2025. In the first half of the year, we expect cash burn from operating losses with progressive improvement as the year progresses. Working capital is expected to generate cash through reductions in fee-for-service DSOs and improved inventory management. In addition to the burn associated with operating losses, we expect modest capital expenditures of $2 million and one-time expenses and add-backs of $5 million. As such, we are guiding to free cash flow in the range of negative $12 million to negative $21 million for the full year 2025, and anticipated cash flow breakeven in the fourth quarter of 2025. With that, I will turn it back to Dan for closing comments.
Dan Virnich: Thanks, Rob. As mentioned earlier, subsequent to year-end 2024, we strengthened our balance sheet through two key initiatives: a debt paydown and a decoupled capital raise. We remain committed to reducing leverage and improving our financial flexibility. This new capital strengthens our balance sheet and positions us to execute on our strategic priorities. We are pleased with the strong interest from investors and broad support from the Board, which reflects confidence in our business model and long-term growth prospects. As we enter 2025, we will continue to build on our momentum through strong operational management, increased efficiencies, and strategic market expansion, and expect a near-term path to sustained cash flow positivity and profitability in the second half of 2025. With that, we are now ready to take your questions. Operator?
Operator: Great. Thank you. We will now be conducting a question and answer session. If you would like to ask a question, please press star one on your telephone keypad. A confirmation tone will indicate your line is in the question queue. You may press star two to remove yourself from the queue. Participants using speaker equipment may need to pick up your handset before pressing the star keys. One moment, please, while we poll for questions. Our first question is from Angie from B. Riley. Please go ahead.
Angie: Thank you for taking our questions. I have a couple of them, if I may. Rob, for 2025 guidance, what are the significant moving factors there? Do you need to sign new contracts to get the revenue and the gross profit goal there?
Rob Carter: Hi. Yes. Thanks for the question. Yes. Several things are contributing to the growth on 2025 guidance. Among them, as you mentioned, growth in capitation contracts, yes, is integral to us hitting our targets. We also have organic growth planned for both fee-for-service and dispensary. We will need to hit on all of those in order to hit that target. But the combination of those is how we are viewing growth in 2025. Beyond that, as mentioned a little bit in the section that I just went through, is a reduction in our clinical payroll. As a percentage of revenue. As mentioned, we incurred expenses in 2024 in terms of putting in clinics and doctors in our growth markets, particularly in Florida, and we are now in the position where these incremental lives from these value-based contracts will fill the clinics, thus reducing the overall cost of clinical payroll as a percentage of revenue and then the cost per visit.
Angie: Yeah. Got it. Yeah. We will get into that in a moment. So maybe a quick follow-up there. How do we think about the contribution from the patient service segment and oral dispensary? Will patient service be a meaningful growth driver there in 2025?
Rob Carter: Yes. The capitation segment being a part of patient services will be the primary and most significant driver of our improvement of overall profitability. We expect organic growth in fee-for-service to continue at the sort of market rates and levels. But the main contribution from the patient services segment will be within the capitation.
Angie: Yep. Got it. And is there Rob or Dan Virnich, can you provide more operating or operation metrics comparing the new territories such as Florida, versus established marketing California and what is the goal there in 2025?
Dan Virnich: Yeah. Absolutely. I am happy to take that one. We continue to grow in California, which is our oldest market. However, there are several things about Florida and other new expansion markets which are very attractive to The Oncology Institute, Inc. and make our value proposition even stronger with payer partners and patients. One, we see benchmark oncology utilization much higher than California in new markets. So the opportunity to provide value against a much higher benchmark is significant. The other key difference is that almost all markets outside of California are pure Medicare Advantage risk markets, which creates a much higher opportunity given the higher prevalence rate and spend associated with the senior population versus commercial and managed Medicaid, which predominates in addition to Medicare Advantage in California.
Angie: Got it. Just maybe some specifics there. Where are we in terms of the capacity of the new clinics in Florida versus, let's say, in California, are you already at ninety or one hundred percent capacity?
Rob Carter: Yeah. So our California clinics are below ninety percent. They are about seventy-five percent. So there is room for additional capacity in California. In Florida, we have much greater capacity. We are currently operating at about forty percent, depending on the clinic, across our clinics in five counties in that market. So we have the opportunity just in those five counties to add significant contribution to our P&L. There are also other high-priority markets in Florida that we do not currently have clinics or we have near-term expansion opportunities for the calculation.
Angie: Yep. Got it. Especially on that, on the forty percent right now, is there a goal to achieve in 2025? Are we targeting similarly to kind of California at seventy-five percent or slightly lower but the gap there in 2026?
Dan Virnich: Yeah. Our goal is to grow as fast and efficiently as we can. We definitely have the clinical capacity to achieve California productivity in 2025. There are substantial contracts in the pipeline in Florida and new markets that could bring us to those levels, depending on the speed of execution beyond those which have already signed.
Angie: Yep. Got it. Maybe one last question from me. Any thoughts on the recent reimbursement landscape, anything you are watching for with this new administration, including new CMS administrators in the office now?
Dan Virnich: Yeah. Absolutely. I think all of the general macro trends that we see in the oncology industry are favorable to The Oncology Institute, Inc. So big changes which have been discussed, although it is debatable as to how fast it would take place, would be changes related to IRA. Any reduction in, you know, the more expensive oncology drugs, ultimately benefits The Oncology Institute, Inc. since we are capable of managing in a value-based construct, and we have been doing that for eighteen years. That would be harder obviously on a pure fee-for-service oncology business, but we believe that would be favorable for us. Then, you know, if anything ever happens with 340B pricing, which The Oncology Institute, Inc. does not benefit from, that would push volume from hospital-based infusion centers oncology practice out into the community again, which we believe would ultimately benefit us in terms of the growth, organic growth in our clinic visit, as well as increased opportunity again working with payers.
Angie: Got it. Yeah. Thanks for the helpful color. I will hop back in the queue.
Operator: As a reminder, if you would like to ask a question, it is star one. Next question is from Robert Laboyer from Noble Capital Markets. Please go ahead.
Robert Laboyer: Afternoon, and congratulations on the quarter. I was looking at the revenue guidance. And wondering if you could give any of the individual line items, the patient services dispensary and clinical trial breakout as to what the revenue expectations and growth for each of those areas is.
Rob Carter: Hi, Robert. Yeah. At this point, we are not guiding to specific segments. The thought here, though, is as I mentioned before that in terms of overall contribution to profitability, capitation is going to be the greatest contributor followed by dispensary and then fee-for-service. You know, we expect organic growth from both dispensary and fee-for-service with this robust pipeline that we have driving the capitation.
Robert Laboyer: Okay. Great. Thank you. Once again, as a reminder, if you would like to ask a question, this concludes the question and answer session. This also concludes today's teleconference. You may disconnect your lines at this time. Thank you again for your participation.